Operator: Welcome to Workday's Fourth Quarter and Fiscal Year 2018 Earnings Call. At this time, participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the call. And with that, I will hand it over to Mike Magaro, Vice President of Investor Relations. Sir, you may begin your conference.
Michael Magaro - Workday, Inc.: Welcome to Workday's fourth quarter fiscal 2018 earnings conference call. On the call, we have Aneel Bhusri, our CEO; Robynne Sisco, our Co-President and CFO, and Chano Fernandez, our Co-President. Following Aneel and Robynne's prepared remarks, we will take questions. Our press release was issued after the close of market and is posted on our website, where this call is being simultaneously webcast. Statements made on this call include forward-looking statements regarding our financial results, applications, customer demand, operations, and other matters. These statements are subject to risks, uncertainties, and assumptions. Please refer to the press release and the risk factors in documents we file with the Securities and Exchange Commission, including our most recent Quarterly Report on Form 10-Q, for information on risks, uncertainties, and assumptions that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Workday's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results, in our earnings press release on the Investor Relations page of our website. The webcast replay of this call will be available for the next 90 days on our company website under the Investor Relations link. Also, the Customers page of our website includes a list of selected customers and is updated monthly. Our first quarter quiet period begins at the close of business on April 13, 2018. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2017. With that, let me hand it over to Aneel.
Aneel Bhusri - Workday, Inc.: Thank you, Mike, and good afternoon everyone from sunny Florida where we are holding our annual sales kickoff event. Thank you for joining us today for our fourth quarter earnings call. I'm pleased to report that Workday had another strong quarter, ending the year with significant momentum across the board. Our success as a company continues to be driven by our forward-thinking customers who expect more from their enterprise applications and continue to choose Workday as their partner for their move to the cloud for finance and HR. We now have over 2,100 customers and our commitment to their success is demonstrated by our 98% customer satisfaction rating, and industry-leading referenceability. On the sales front, our consistent sales execution throughout the year extended into Q4 and enabled us to deliver excellent full year fiscal year 2018 results. In Q4, we saw healthy demand across all product areas and geographies. Starting with HCM, we added nine new Fortune 500 customers, including five in the Fortune 50. A few of the new additions include Home Depot, Banco Santander, General Electric, PNC Bank, Chevron U.S.A. and Telstra. We now have over 175 Fortune 500 customers for our HCM product line, including more than 20 of the Fortune 50. And consistent with past quarters, more than 70% of our HCM customers are now in production. Switching over to our Financial Management applications, Q4 was our best quarter ever for this product line. In the fourth quarter alone, we added 58 new core Financial Management customers, up 45% from last year, including two Fortune 500 customers, one of which is a Fortune 100 company. In addition to the strength of our core Financial Management offering, we also added over 60 planning customers bringing our total number of planning customers to over 250 and our total number of Financial Management customers to over 450. A few of the notable new Financial Management customers include American Family Mutual Insurance and Quicken Loans. Indeed, we continued to see strong signs of increasing digital transformation in the CFO organization and believe that our strong and growing referenceable customer base will be a key driver to our future success. Similar to our HCM product line, Workday continues to deliver on our commitment of getting customers live and successful, with over 60% of our Financial Management customers now in production. As we head into fiscal year 2019, we are confident in the pipeline we have built and the sales execution model we have put in place. As such, we expect fiscal year 2019 to be another strong year of growth. Fiscal year 2019 is also another big investment year for Workday on the product and innovation front. We're doubling down on our focus of customer-driven innovation and are ramping up the investment into our two newest pillars, Workday Prism Analytics and Workday Cloud Platform, both of which are off to a great start. On the Prism Analytics front, we saw over 45 new customers sign up for this new offering in its first quarter of availability. On the Workday Cloud Platform front, significant development progress has been made over the past several quarters. Customer and partner interest in the Workday Cloud Platform continues to grow and we are pleased with the initial results and feedback from our early adopter program. Switching to the people front, a key part of our success continues to be our vibrant company culture, which allows us to maintain high levels of employee satisfaction and greatly helps us attract and retain talent across all levels of the company. To that end, we are proud of our recent recognition as number seven on the list of Fortune's 100 Best Companies to Work For in the U.S. and number two on Great Place to Work Institute's Best Workplaces in Ireland. Being a great place to work is something that Dave and I have cared about since day one, so it's an honor for Workday to be on these prestigious lists. Staying on the people topic, we also recently announced some leadership changes that further strengthened the company and underscore our belief that much of Workday's ongoing and future success will be fueled by continually identifying leaders from within the company. As we announced earlier this month, Robynne Sisco and Chano Fernandez are stepping into the roles of Co-President and will lead us through our next phase of growth. This move enables Phil Wilmington and Mark Peek to focus on strategic initiatives for us, while also continuing to serve as key members of our senior management team. Phil now serves as Workday Vice Chairman, and Mark has taken on the role of Managing Director, co-head of Workday Ventures alongside Leighanne Levensaler. As we head into fiscal year 2019, I'm optimistic as ever about the future of Workday. On the innovation front, we are delivering against our unique vision of bringing planning, transactions and analytics into one unified cloud system. And with the introduction of Workday Cloud Platform, Workday is being increasingly viewed by our customers as not just an applications company, but as a platform provider too. We continue to invest heavily in our company culture and our value system, and have a great group of employees committed to delivering the highest levels of customer satisfaction to our great customers. Given the backdrop of the continued migration of enterprise systems to the cloud, hopefully you all share my optimism. I'll now turn it over to our CFO and newly minted Co-President, Robynne Sisco. Over to you, Robynne.
Robynne D. Sisco - Workday, Inc.: Thanks, Aneel, and good afternoon, everyone. Our fourth quarter capped a very strong year where we continued to demonstrate momentum across our subscription revenue growth drivers. We added a record number of net new customers during the quarter and our high levels of customer satisfaction continued to drive industry-leading renewal rates as well as strong add-on sales to existing customers. Our subscription revenue grew 34% to $490 million for the fourth quarter, and was up 39% to $1.788 billion for the full year. Total revenue was $582 million in Q4, reflecting growth of 33% from last year, and $2.143 billion, or 36% growth, for the full year. In Q4, $441 million of our $490 million of subscription revenue, or 90%, came from the balance sheet, consistent with the Q4 of last year. We continue to see strong quarterly performance outside the U.S., with total revenue up 53% to $131 million, representing a record 22% of total revenue. Subscription revenue backlog was $5.2 billion, growth of 34% against a very difficult comparison period a year ago. Our non-GAAP operating profit for the fourth quarter was $55 million, or 9.5%. For the year, we saw significant leverage in our business, as our non-GAAP operating profit increased to $216 million, or 10.1% of total revenue, up almost 7 percentage points year-over-year. Operating cash flow for fiscal 2018 was $466 million, representing 33% growth from last year. Our free cash flow was also strong, increasing to $324 million in fiscal 2018, 41% year-over-year growth. The operating and free cash flow strength was primarily driven by unusually strong customer collections in our fourth quarter. We successfully added and integrated almost 1,600 net new employees to Workday this year, bringing our total employee count at year-end to over 8,200. Operationally, we continue to execute well against our long-term vision and appreciate the continued support from both our new and existing customers. As we enter fiscal 2019, our strong pipeline gives us confidence in our continued growth story. We see significant opportunity across product segments and geographies, with financial management and business outside the U.S. incrementally becoming a larger portion of the overall mix. Our focus remains centered on driving strong sustainable growth and we will continue to prioritize both new customer acquisitions and long-term contract economics, which will likely result in continued quarter-to-quarter variability in some of our business metrics but will serve us well in the long run. Let me now turn to guidance for fiscal 2019. For the first quarter, we expect subscription revenue to be between $514 million and $516 million, representing 29% year-over-year growth. For the full year, we expect subscription revenue of $2.265 billion to $2.280 billion, representing year-over-year growth of 27% to 28%. Sequentially, we expect quarterly subscription revenue to increase by approximately 6% to 7% throughout the year, with Q2 closer to 7%, and Q4 closer to 6%. On the professional services front, we continue to value and support a growing SI ecosystem. Our partners are seeing robust growth in their Workday practices, and we will continue our tight alignment with them to ensure customers have successful implementations that support the highest levels of customer satisfaction and business value. We are expecting professional services revenue to be approximately $93 million in Q1, and $405 million in fiscal 2019, or growth of 16% and 14%, respectively. Professional services margins will be slightly lower than last year, as we continue to invest in programs to support customer deployments, and to sustain our high levels of customer satisfaction. As we continue to focus on long-term customer economics, contract structures and payment terms, especially with larger customers, are expected to continue to impact unearned revenue trends period to period. As we look at FY 2019, we want to provide some additional color on our expected balance sheet trends, given what we know today. Current unearned revenue growth is expected to fluctuate during the year, with Q1 seasonality resulting in a year-over-year growth rate in the low 20% range. The timing of some large customer invoices in Q2 will improve current unearned revenue growth into the mid 20s, with growth in the second half of the year likely to return to the low 20s. We would expect long-term unearned revenue to continue to decline year-over-year, but expect it will fluctuate period to period based on up-front cash dynamics. We expect more typical seasonal trends in our subscription revenue backlog with little or no sequential growth in Q1. We estimate non-GAAP operating margins of approximately 10% to 11% in Q1, and expect a normal seasonal sequential decline in Q2. We expect our non-GAAP operating margins for the full year to be approximately 12%. This 200-basis-point year-over-year improvement for FY 2019 reflects our continued investment in products and other areas of the business to support our long-term growth aspirations. The GAAP operating margins for the first quarter and full year are expected to be approximately 24 percentage points lower than the non-GAAP margin. We expect operating cash flow growth in FY 2019 to be 30%, resulting in an operating cash flow margin of over 22%. Given our recent non-GAAP profit, we are now introducing a non-GAAP tax rate. We have determined this rate by using a three-year non-GAAP outlook and calculating the average expected tax rate over that period, taking into account the impact of the 2017 Tax Cuts and Jobs Act recently passed into law. The non-GAAP tax rate for FY 2019 is 17%. Our new Pleasanton development center construction project is in full swing and is the focus of our owned real estate investments in fiscal 2019. We expect capital expense for this project to be approximately $200 million in FY 2019. The entire project is on track for completion in early fiscal 2020, and we continue to fund construction from cash on our balance sheet. We expect FY 2019 CapEx, excluding our development center, to also be approximately $200 million. The increase from FY 2018 is driven by datacenter investments, leased facilities expansions, and large furniture purchases as we near occupancy of our development center. With that, let's begin the Q&A process.
Operator: And your first question comes from the line of Mark Murphy with JPMorgan.
Mark R. Murphy - JPMorgan Securities LLC: Yes, thank you very much and congrats on a very strong finish to the year. Aneel, you mentioned a Fortune 100 win, I believe, in Financial Management, and I realize that's not the very first singular situation like that, but it seems like it's something that's probably pretty meaningful. Could you share any more details on the deal dynamics there in terms of which general ledger might have been displaced, which vertical, when maybe it would go live, anything else that you think might be interesting?
Aneel Bhusri - Workday, Inc.: Sure. It's a company that we're not able to name right now. It's a full platform opportunity. I'd say it's best described is in the food business, and its volumes are almost an order of magnitude higher in some areas than anything we've taken on in the past. And that's relative to the Aons and J.B. Hunts of the world, which are already in really high volumes. So, our view is this one really, from a scalability perspective, demonstrates that we can scale to Fortune 100 size companies even in sectors that are not necessarily a target sector for us. This is more of a traditional ERP-oriented company that decided to go with the full platform from Workday. I believe the displaced product is SAP. I'm not sure, but I'm pretty sure that's the case.
Operator: Your next question comes from the line of Richard Davis with Canaccord.
Richard Davis - Canaccord Genuity, Inc.: Hey, thanks very much. So, what do you think, what would be, as an outsider, like kind of a reasonable set of milestones that we should expect in terms of kind of your ISV partners that you're building on kind of a more open platform? Because in the end, I think that's a really positive move, because it's going to make your software, like, really sticky. Thanks.
Aneel Bhusri - Workday, Inc.: Well, it's a great question, Richard. We're still in the mode of early adopter work with our customers and exploring what they can do with the Workday Cloud Platform. And the takeaway so far is there are lot more use cases and ideas than we had ever expected. By the time that we're together in six months for, or a little bit more than six months for Workday Rising, you'll see a more deliberate step forward on how we're going to open it up with business partners. And that's consistent with what we said at the last Rising; we were going to be in early adopter mode. Basically every one of our big systems integrators is lined up to either want to extend on behalf of customers, or come up with ideas where they would like to build their own intellectual property on top of the Workday Cloud Platform, and right now, my goal is to actually keep expectations both from a bookings perspective and a customers' perspective in check because it's an exciting new move for the company. But just stay tuned for Rising when we open it up more broadly to the broader ecosystem.
Operator: Your next question comes from the line of Kash Rangan with Merrill Lynch.
Kash Rangan - Bank of America Merrill Lynch: Congratulations on the quarter. I'm curious to get a little bit more perspective on the sequential growth in the backlog, which was quite impressive. And what, in rank order of descending in terms of priority, were the product sets that contributed to that significant growth in backlog? And I'm also wondering if, at this point in time, the headwind that has affected the calculation of short term deferred revenue due to invoicing durations coming in, are we well past the anniversary so as to expect a more moderate set of comparisons for this particular metric since the invoicing terms had been coming under pressure, but presumably that should go away next year? Just want to clarify these two things. Thanks.
Robynne D. Sisco - Workday, Inc.: Yeah, so Kash, on the backlog, there are really three main factors that drive the incremental backlog number. And that is net new ACV, obviously Q4 being our strongest quarter. You saw a similar trend Q4 last year in the backlog where we got our largest increase quarter-over-quarter in Q4. Additionally, renewals add to that backlog number, so any contract that renews during Q4, that contract value goes into the backlog as well, and Q4 being our historical seasonally high quarter, we've got a lot of renewals that happen in Q4 as well. And then duration, we did see a slight uptick in duration in Q4, but it wasn't a meaningful change from prior quarters. So, those are the big drivers. We expect seasonality in backlog to be very similar in FY 2019, as what you saw in FY 2018, meaning really flat Q4 to Q1, and then some incremental movement in Q2 and Q3, and then another big increase next Q4. So, this represents normal seasonality for us. On the deferred revenue front, as you know, we've continued to structure deals in a manner that best serves the long-term interests of Workday and the customers, and our business isn't linear, and contract structures can vary particularly with the larger ones, which means that we expect both billings and unearned revenue to continue to have variability quarter-to-quarter. So, I don't think we're going to really lap anything that will give us consistency. I still expect it to vary. We did think it would be helpful to give you some color on what we're seeing in current unearned from where we stand today, and the year could unfold in a different manner because it really will depend on some of the new contracts that we do, and how those structures play out.
Operator: Your next question comes from the line of Ross MacMillan with RBC Capital Markets.
Ross MacMillan - RBC Capital Markets: Thanks so much. You mentioned that growth from international and from Financial Management are obviously going to be incrementally larger in 2019 than 2018. Is there any way to sort of parse those out? And as a follow-on, I'm curious especially in HCM given the success we've had in the U.S. in the last 12 to 18 months, especially in large Fortune 50 accounts, does the onus begin to shift towards international wins a little bit more as you look forward? Thanks so much.
Aneel Bhusri - Workday, Inc.: I'd first say that the U.S. market continues to be a very healthy market for HCM. There's still a number of companies that have not made decisions. I think the trend in the parts outside the world, I'm going to turn over to Chano, is that we are both experiencing markets that are later to the cloud, and so we're seeing the early adopters and two, we're opening up new markets. Maybe you want to get into more detail about what you're seeing internationally.
Chano Fernandez - Workday, Inc.: Yeah, we're getting more mature in some of the markets that we're already present and definitely with great customer referenceabilities, opening more opportunity to us, which the thing is executing well on. And as Aneel is saying, we are expanding into new markets, which opens opportunity as well.
Ross MacMillan - RBC Capital Markets: And Robynne, any comment on financials in international within the backlog mix or any other way to think about that?
Chano Fernandez - Workday, Inc.: If you look at the Q4 data as a point, the representation of financials in international is pretty balanced, meaning that they also contributed well to the growth and to our best ever quarter.
Operator: And your next question comes from the line of Brian Schwartz with Oppenheimer.
Brian Schwartz - Oppenheimer & Co., Inc.: Yeah, hi. Thanks for taking my question. Aneel, I just wanted to ask you if you could comment on the business linearity in the quarter. You're one of the first companies to report with a January quarter-end. We saw very strong results in the December quarter from the SaaS companies. There was a change with tax reform and the regulatory environment. It seems that the business optimism has ticked up since the start of the year. Maybe hard to parse that given the third month is typically strong in enterprise software, but can you comment at all on the cadence of the business activity and what you saw in the linearity during the quarter? Thank you.
Aneel Bhusri - Workday, Inc.: Yeah, it's a pretty healthy business environment frankly across the globe right now. And I was interviewed on CNBC during the World Economic Forum. I always get a little nervous when everybody is so optimistic, but I would say right now that there's optimism to be had really across the globe. What's driving Workday though is this focus on really two things: The transformation of the HR function into a people-oriented, leadership-oriented, talent-oriented function, and it's hit the CEO agenda and it's happening across the globe. People realize that we're in a very competitive job environment and their people are their most important asset. And we just have far more proof points of success, not just of deploying cloud systems but actually people getting the benefits of that transformation. And now we're beginning to see that same cycle with the finance organizations. And so I think people are looking at this environment as, hey, business is good. Let's get on with getting ready for the future, and looking at how we're going to be more competitive against their own set of competitors. And it's driving a lot of interest in the products we have. I also think the last piece is that we're seeing the linearity has been strong all year. That's kudos to Chano and his sales team. I don't think the fourth quarter was any different; strong linearity through every quarter. The conversations we're having with companies are much more around the business drivers rather than our quarter-end drivers, and that is a really healthy change for us. And on a previous question, we talked about the – I think Ross had asked about financials. We said we experienced 45% growth in customer count. That's a pretty good proxy for ACV growth, too, just to give you a little more sense as to the growing strength of our financial product line.
Operator: Your next question comes from the line of Karl Keirstead with Deutsche Bank.
Karl E. Keirstead - Deutsche Bank Securities, Inc.: Thanks. Robynne, I wouldn't mind going back to your decision to give us some current DR (00:26:17) guide. I definitely appreciate it and you haven't really given much comment on that metric in a while, and I just wanted to dig a little bit into why you felt comfortable now. Is it that Workday's getting to be sufficient scale, maybe the volatility around payment terms is a little bit less, your visibility into the pipeline is a little bit better? What gave you the comfort maybe to give us a little color where you haven't for a good 12, 18 months?
Robynne D. Sisco - Workday, Inc.: Yeah. Karl, it was really the recognition that even though we're not focused on billings, we know that it's something that all of you have been using to model us for quite some time. And I know it's not an easy thing to let go of. And so given you are still looking at our business that way, we just wanted to give you some color because there is a lot of variability, right. And the historical trends really don't apply, and we expect them to continue to not apply going forward. And so we thought it would be helpful to take some of the noise out of the system to give you guys just a little color into just what we're seeing as we go into the year and what we expect.
Operator: Your next question comes from the line of Kirk Materne with Evercore ISI.
Kirk Materne - Evercore ISI: Thanks very much, and congrats on a nice end to the fiscal year. Aneel, I was wondering could you just talk a little bit about within the financials business where you're seeing some momentum from a vertical perspective. I know this market relative to HCM is a little bit more sold into a vertical. So I was just kind of curious where you might be seeing some nice uptick both in terms of deals signed as well as when you look into your pipeline. Thanks.
Aneel Bhusri - Workday, Inc.: I'll offer up a couple comments and then ask Chano to weigh in as well. We have stated strategies around several key industries. The first one was education and government, the second was healthcare, we've been doing more work in financial services, and then I think the last one is technology. And those are really the four places where we saw continued strength with our financial management products in particular. Financial services continues to be a great market for us. The two wins we highlighted, the Family Health Insurance and Quicken Loans are two great names in the financial services area. But when you look at the wins in healthcare, they have been strong as well, and the education and government heritage from five or six years ago continues to be a really strong driver for us. Anything you want to add, Chano?
Chano Fernandez - Workday, Inc.: Those are really the key strong ones. Those are potentially where you see the stronger pipeline. Potentially the only one to add would be hospitality and in some areas business services as well. But the key ones are the ones we highlighted.
Aneel Bhusri - Workday, Inc.: And I think as Chano laid out those new industries or those additional industries, I think what you should expect from Workday over the next 12 to 18 months is we will become more industry-oriented from our go-to-market messaging, our go-to-market organization, and our products beginning to reflect some of that industry-specific capabilities that our customers want.
Chano Fernandez - Workday, Inc.: If I may add, Aneel, there is also an increased interest in areas like retail where our solution can fit very well for companies that will do their merchandising and logistics on separate systems, which is a very common practice as well. And that's a big, large interesting one.
Operator: Your next question comes from the line of Keith Weiss with Morgan Stanley.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Excellent, guys. Thank you for taking my question, and very nice quarter. I wanted a little big picture about the financials opportunity. In our CIO survey work over the past year, we've seen actually ERP rise in priority. Are you seeing anything from a industry or sort of macro perspective that you think is driving guys more to sort of evaluate how they're doing the financials, how they're doing the ERP that could be in addition to just the product getting better could be helping that overall business?
Aneel Bhusri - Workday, Inc.: I think there's three things. Number one, the CFO organization tends to be a conservative organization for all the right reasons. They're not going to be the firsters of new technology. I think it's pretty well established now that the cloud is mature technology that works across the biggest companies in the world, and frankly, more secure than the legacy systems. So I think that's number one. The cloud has become mainstream from the CFO perspective. Number two, the finance organizations are trying to transform themselves into being better business partners to the business, and that involves being better at planning and being better at analytics. So our message of planning, analysis, and execution all wrapped into the same system is beginning to really resonate. Where just a new accounting system wasn't enough to drive change, the whole vision that we're able to present gives the CFO and their team a way to really transform the CFO organization. And then I'd say the last thing is the product capabilities that the product as it matures from a global perspective just continues to open up new markets, and people don't look at it as something that's two or three years down the road. Many companies can look at it and say we can make this change right now.
Operator: Your next question comes from the line of Scott Berg with Needham.
Michael Magaro - Workday, Inc.: Hi, everyone. Thanks for taking my question and congrats on a really good quarter. I guess my question is, I don't know if it's for Aneel or Chano, but around the implementation efforts for the financials platform with some of the uptick in deals that you've had, are these deals to be implemented by partners or direct? I imagine that Fortune 100 win might be more of a direct type of an implementation, but just wanted to see how you're planning for those over the next year.
Aneel Bhusri - Workday, Inc.: In the HR world, it's far greater than 80/20 being done by the partners. I think it's probably 85/15 at this point. Financials was 50/50, but it's beginning to also become more partner-centric. On the Fortune 100 account you mentioned, you're absolutely right. We decided to take the lead role, but it's very important for us to continue to get skills into our ecosystem, so we are subbing out work to our partners so that the next financial opportunity that pops up, they could lead it themselves. And that will continue to be our strategy, and I think in two years, we'll be at pretty similar levels on the services component for both HR and financials. Any time we have a newer initiative and we're really trying to prove our customer success, in the case of Prism Analytics right now, we're going to be front and center just to ensure customer satisfaction.
Operator: Your next question comes from the line of Alex Zukin with Piper Jaffray.
Alex J. Zukin - Piper Jaffray & Co.: Hey, guys. Thanks for taking my question. Investors have really been fixated on these Fortune 500 financials deals for you guys for some time. So maybe, Aneel, do you see these two signings representing any kind of inflection point for Fortune 500 from a pipeline perspective? And is it possible at a high level either for ACV growth in fiscal 2019 or as a percentage of total bookings contribution to get a sense for how you're thinking about your targets for financials or how we should think about them?
Aneel Bhusri - Workday, Inc.: Yeah. I personally think there's too much focus on the Fortune 500 accounts. Although we are very happy with where we are from fiscal year 2018 and the pipeline for fiscal year 2019 has a lot more of them in there, they're just hard to predict. I think the important trend is that across the board, finance is becoming mainstream in the cloud. And when you look at the medium enterprise, which in many ways is our bread-and-butter business, we have a huge advantage over any competitor in that HR and finance is delivered by one vendor in a unified system. Almost everybody else is cobbling together multiple technologies. And the idea for a medium enterprise company to want to integrate multiple solutions from multiple vendors is just not very practical. They just don't have the skills – well, they have the skills. They don't have the IT scale to do all those integrations. So the idea they can get a lot from one vendor is a really great opportunity for us. And in that medium enterprise, we really stand alone as the only one that can deliver that full unified solution. But on the Fortune 500 accounts, I think we're now beginning to see the movement. It's going to continue to be lumpy. We can't predict when they land, but they're in the pipeline. And now we have some really good proof points. Aon is pretty far along the way to close the books globally for the first time. So that's gone really well. I think a lot of people are looking to see what they do post this next few months. With this Fortune 100 company, it just opens up a new scale of opportunity for us. I think in the traditional Fortune 500, they're all beginning to look at financial systems in the cloud now.
Operator: Your next question comes from the line of Philip Winslow with Wells Fargo.
Philip Winslow - Wells Fargo Securities LLC: Hi. Thanks, guys, for taking my question. The question is sort of to Aneel and Chano. Obviously you mentioned about another large Fortune 100 displacement on the financial side, but if I think about it over the course of this whole fiscal year, there's been a number of large displacements in Financials and HCM. When you look back, call it, over the past 12 months, is there anything that you'd suggest from just a competitive standpoint versus let's say the three kind of legacy players, where either win rates are improving versus those competitors or as you look at the pipeline for this coming fiscal year, where the opportunity set is really starting to diverge and you think that there's sort of a greater opportunity because of some sort of competitive window versus any of these given players?
Aneel Bhusri - Workday, Inc.: We've said this on past calls. Win rates have been fairly consistent over the last few years. I think what continues to be the case for both HCM and Financials, customer success and proof points really matter, especially in those large Fortune 100 situations, where frankly cost is not the driver. They just cannot afford to have a failed project. It's a huge investment. They usually have a burning platform issue or a major transformation they want to get done. And they call around to the different vendors, customers, and ours are really happy. And a couple of years ago, it was still early enough where it was hard to compare, but now it's very clear that Workday has the happiest customers, and I think that continues to drive success for us. And that's our golden goose. We got to protect it. If I were to say one thing about financials on a competitive side, it really is just two players in the cloud. SAP does not have a cloud financial offering. That's just not our perspective. That is the analysts' perspective. There's nothing to evaluate against. So most of the opportunities for cloud financials come down to us and Oracle. And it's a plenty big market for both of us. And without getting into the commentary that they say or what we would say, I would just say it's a huge market for two vendors and we really like our position right now.
Operator: Your next question comes from the line of Brad Reback with Stifel.
Brad Robert Reback - Stifel, Nicolaus & Co., Inc.: Great. Thanks very much. Aneel, I think last quarter you said Financial Management ACZ grew at least 50%. Obviously you said 45% a little while ago. Given the big signings, I'm just trying to understand what may have caused that deceleration? Thanks.
Aneel Bhusri - Workday, Inc.: Honestly I know it's at least 45%. I was asking Robynne. I don't know what the actual number was.
Chano Fernandez - Workday, Inc.: It's not deceleration. It's more than it was last quarter.
Aneel Bhusri - Workday, Inc.: Yeah.
Chano Fernandez - Workday, Inc.: Aneel said it is a good proxy.
Aneel Bhusri - Workday, Inc.: I said it was a good proxy in terms of customer count, but it's better than – yeah. Whatever Chano said.
Chano Fernandez - Workday, Inc.: It's not deceleration. It's acceleration.
Operator: Your next question comes from the line of Bahavin Suri with William Blair.
Vinay Mohan - William Blair & Co. LLC: Hey, this is actually Vinay on for Bahavin. Thanks for taking my questions. And congrats on the quarter. Just wanted to talk about midmarket. I know we haven't touched on that. Could you provide, Aneel, any commentary on what the market was like in Q4 within the midmarket and what that pipeline looks like for fiscal 2019? And then I have a follow-up for Robynne. Thanks.
Aneel Bhusri - Workday, Inc.: I would say in the midmarket, less so about Q4 but generally the trend for the year was that our win rates this past year in the medium enterprise were better than they were the previous year. And I think that's due to great sales execution by Doug Robinson and his team in the U.S. Beginning (39:12) to roll out the medium enterprise story in the rest of the world. And Annrai O'Toole and the development folks in Ireland have been coming out with better and better tools to reduce the cost of implementation which we've always said is the biggest driver for our success in the medium enterprise. Software costs are similar, our implementation costs were a bit higher and we're beginning to address that with these implementation tools. So our win rates, I think, historically were in the 50% range in the medium enterprise and they're significantly better in fiscal year 2018.
Vinay Mohan - William Blair & Co. LLC: Got it. That's helpful. Robynne, just wanted to follow up on the two large enterprise financial wins. I know you've mentioned talking about focusing on the longer term and looking at contract structures that focus on long-term value. I'm just curious with these two large Fortune 500 wins, I know they're still early, but are they more ramped in nature than maybe some of the strategic HCM wins or any color to help us think through that? Thanks.
Robynne D. Sisco - Workday, Inc.: No, they're actually not unusual in structure at all. They're fairly standard structure deals.
Operator: And your next question comes from the line of Samad Samana with Stephens, Inc.
Samad Samana - Stephens, Inc.: Hi, thanks for taking my questions, and very, very nice quarter. I guess I wanted to ask on Prism Analytics. It looked like there was a big jump in the sign-up and number of customers now that it's generally available. Is there any particular profile of the adopters that you've seen so far? And maybe color on what they're either replacing it with or are they treating it as an add-on to existing BI implementations? Or is it a replacement? And then, Robynne, maybe if you could just remind us how the pricing model for Prism works? That would be helpful. Thank you.
Aneel Bhusri - Workday, Inc.: It's still too early to tell in terms of patterns. The number 45 was a bigger number than I had expected. Whether it's replacement for BI or additional projects, I think it's too early to tell from a 2,100 customer base, what 45 think. What we are seeing are use cases that are very valuable from a customer perspective and in all the cases so far, they're marrying data from other systems with Workday to get to insight that they could not have gotten on their own. The Prism product was built around the Platfora technology that we acquired two years ago. It was rewritten in a pretty broad way to work within the Workday cloud construct and be completely unified with the rest of the platform. It has this great ability to get data in and then to transform it to fit our BI strategy. And so some examples have been for hospitals where they were able to take HR data, finance data, and patient data and better understand the profitability or lack thereof of certain procedures and certain patients. And that's the kind of analysis bringing multiple types of data, and allowing them to do it really quickly and simply that they're not able to do. So I think we're going to see a whole host of use cases around it. My gut tells me many of the use cases are going to be very industry specific. There'll be a set of healthcare use cases, a set of financial services use cases. And they'll be using Workday as that system of record to bring in their core business data, whether it's healthcare data, patient data for a healthcare organization or trading data for a financial services organization, bring it into Prism and then do the rich analytics that they've always wanted to do.
Robynne D. Sisco - Workday, Inc.: And in terms of pricing, Prism pricing is structured largely like most of our other products are, as a percent of HCM, and it runs approximately 40%.
Operator: We will now take two more questions. Your next question comes from the line of Adam Holt with MoffettNathanson.
Adam Holt - MoffettNathanson LLC: Great, thanks. And I'll echo the congratulations. Looks like a really nice end to the year. Well done. I had a question for Aneel and then one for Robynne. Understanding that billings is just one metric to look at, you beat the Street by more than 10% this quarter and it was a real outlier from a growth rate perspective, well above the last couple of quarters, and well above the forward guide. Do you think you're getting to the scale where you're just going to see more back-end loading of the year, or more concentration of the larger deals in Q4? Any thoughts around that? And then a question on cash flow for Robynne.
Robynne D. Sisco - Workday, Inc.: Yeah. So Adam, I do think that what you're seeing here is the compounding seasonality effect, right, that some of our peers have as well. And I don't see that that will change any time soon. And on top of that, you also have the variability of different contract structures, right, which just make it a metric that's very, very difficult to predict. And it becomes less meaningful to really our model and our focus on long-term revenue growth on a subscription basis.
Adam Holt - MoffettNathanson LLC: Got it. And just on cash flow, as we think about cash flow for next year, I know you didn't guide to it, but just to put some parameters around it, it seems like there are a few things that converge in fiscal 2019 that should drive strong cash flow, whether it's the mix of revenue changing, the anniversarying of some of the deal terms. There's a few different things. How should we be thinking about the growth of cash flow relative to either revenue or the soft billings guidance that you gave? Thank you.
Robynne D. Sisco - Workday, Inc.: Yeah, Adam, so I actually did guide cash flow at 30% gross, which will give us cash flow margins in the mid to high 22 percents, right? Which is higher than they've been in the past. And I would expect over the coming years that we'll continue to see strength in cash flow growth and cash flow margins.
Operator: And your final question comes from the line of Mark Moerdler with Bernstein Research.
Mark L. Moerdler - Sanford C. Bernstein & Co. LLC: Thanks for taking my question, and congrats also on the quarter. So changing a little gear a little bit. As you're expanding in general, especially in financials, are you seeing increasing client requirement for local cloud datacenters delivering your functionality in the country that the client specifically is? And how do you expect to plan to be able to meet those requirements? Thanks.
Aneel Bhusri - Workday, Inc.: We have been distributed from a datacenter perspective for really for almost our entire history. We have several datacenters in the U.S., several datacenters in Europe. We're opening up two datacenters in Canada through our partnership with AWS. We were a leader and way ahead of the pack in adopting GDPR, and actually working with the EU to be really a progressive company and making sure that the data is protected around the globe. So at this point, we don't really have any concerns. If we do down the road, it's likely that if we have to open up in a specific country, it's likely that we'd use a third-party provider like an Amazon to get there.
Operator: We thank you for your participation in today's earnings call. You may now disconnect, and have a great day.